Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden First Quarter 2018 Earnings Conference Call. Just a reminder, this call is being recorded. At this time, you are in a listen-only mode. Later, we will conduct a question-and-answer session. I would now like to turn the call over to Kevin Maczka. Please go ahead.
Kevin Maczka - Belden, Inc.: Thank you, Ebony. Good morning, everyone, and thank you for joining us today for Belden's First Quarter 2018 Earnings Conference Call. My name is Kevin Maczka. I'm Belden's Vice President, Treasurer and Investor Relations. With me this morning are John Stroup, President, CEO and Chairman; and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business, and then Henk will provide a detailed review of our financial and operating results, followed by Q&A. We issued our earnings release earlier this morning, and we've prepared a slide presentation that we will reference on this call. The press release, presentation and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to slide 2 of the presentation. During this call, management will make certain forward-looking statements in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For more information, please review today's press release and our annual report on Form 10-K. Additionally, during today's call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, the appendix to our presentation and the Investor Relations section of our website contain a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate I will now turn the call over to our President, CEO and Chairman, John Stroup. John?
John S. Stroup - Belden, Inc.: Thank you, Kevin, and good morning, everyone. As a reminder, I'll be referring to adjusted results today. Please turn to slide 3 in our presentation for a review of our first quarter performance. I'm pleased to start the year with 10% revenue growth and 26% adjusted earnings growth in the first quarter. During the quarter, we also continued to execute our balanced capital deployment strategy, which included an attractive acquisition, debt refinancing at very favorable terms, and record quarterly share repurchases. Revenues in the first quarter increased 10.2% to $607.4 million. On a constant currency basis, revenues grew 6.9% at the high end of our long-term financial goal of 5% to 7%. EBITDA grew 11.1% year-over-year to $103.3 million, reflecting 17% EBITDA margins. Our proven Lean enterprise system continues to drive sustainable productivity gains, offsetting mix headwinds in the quarter. EPS increased 26.1% in the first quarter from $0.92 in the prior year period to $1.16. In addition to the solid operating performance, the quarter was highlighted by balanced capital deployment. We completed the acquisition of Snell Advanced Media or SAM during the first quarter for $94 million and we are excited to welcome the SAM team to the Belden family. SAM is a leading provider of live media production equipment that complements Grass Valley's existing product and geographic capabilities. This transaction brings significant value to our customers and shareholders through scale and productivity. By combining these two leading companies and aligning the resources and strategies, we create a much larger and stronger business with leading offerings in live media production. We intend to invest approximately $50 million this year in integration and restructuring efforts to capture the value of the combined company. These strategic actions include substantial cost reduction and manufacturing footprint rationalization. We expect this acquisition to be accretive to EPS by $0.33 over the next four quarters. This reflects a compelling 13% return on the $144 million of invested capital. As a reminder, our ROIC targets for acquisitions are 9% in the first year of ownership and 13% to 15% beyond year three. We were also extremely pleased with the timely execution of our recent debt refinancing at very favorable terms. By issuing €350 million of senior subordinated notes at 3.875%, we lowered our cost of debt to a fixed rate of 3.5% and extended our maturities to 2025 and beyond. We expect this refinancing to be accretive to EPS by $0.12 on a full year basis and $0.08 in 2018. Finally, we allocated a quarterly record $75 million towards our share repurchase program during the quarter. We are increasing our full year revenue and EPS guidance to reflect the accretive SAM acquisition, debt refinancing and share repurchases. As a result, we now expect double-digit revenue growth and robust 16% to 21% EPS growth in 2018. Please turn to slide 4 for a review of our business segment results. As highlighted in our press release issued this morning, we made a change to our organizational structure in the first quarter to improve execution and commercial collaboration. In order to properly align our external reporting with the way the businesses are managed, we are now reporting two segments: Enterprise Solutions and Industrial Solutions. The segments formerly known as Enterprise Solutions and Broadcast Solutions will now be presented as the Enterprise Solutions segment and the segments formerly known as Industrial Solutions and Network Solutions will now be presented as the Industrial Solutions segment. Segment information for the 2017 quarters has been revised to conform to this change and has been included as an appendix to the press release issued this morning. In our Enterprise segment, our solutions allow customers to transmit and secure data, sound and video across complex enterprise and media networks. Our key markets include smart buildings, final mile broadband and live media production. Revenues in this segment increased 11.7% year-over-year to $351 million or 9.1% on a constant currency basis. The smart building market continues to benefit from healthy non-residential construction in the United States and increased needs for contractor productivity and building efficiency. This trend is best reflected by our innovative Category 6A cable products, which deliver both data and power over Ethernet. Orders for Category 6A cable more than doubled in the first quarter on a year-over-year basis. Final-mile broadband which benefits from increasing broadband subscribers and network upgrades performed as expected in the quarter. We are encouraged by a book-to-bill of 1.06 and continue to expect mid single-digit organic growth in this market for the full year 2018. Live media production is served by our combined Grass Valley and SAM businesses. Customer sentiment is positive following the ratification of industry IP standards induced in December 2017 as evidenced by our increased project quoting activity and a quarterly record $9 million of IP sales. Grass Valley and SAM offer complementary IP solutions and our combined product roadmap has been well received. Grass Valley is a clear leader in the live media space and customers appreciate the unmatched scale that will be achieved through this business combination. That said, conditions in the United States remain challenging as our customers invest in direct-to-consumer platforms to combat new entrants. Enterprise Solutions segment EBITDA margins were 16.4%, increasing 60 basis points from the prior year period driven by sustainable productivity initiatives. Turning now to our Industrial segment. Much like Enterprise, our Industrial Solutions allow customers to transmit and secure data, sound and video, but in this case, in harsh industrial environments. Our key markets include discrete manufacturing, process facilities, energy and transportation. Revenues in this segment increased 8.1% year-over-year to $256.4 million or 4% on a constant currency basis. This includes a headwind from the MCS divestiture, which closed at the end of 2017. Discrete manufacturing, our largest vertical, grew 4.2% on an organic basis driven by continued demand from machine builders. The process market grew 7.6% organically with robust double-digit growth in oil and gas. Energy markets also saw a double-digit organic growth in the quarter, driven by major project wins as a result of our expanded industrial cyber security initiatives. And finally transportation, which predominately provides networking equipment for public transportation and infrastructure applications, expanded 4.6% organically in the quarterly. Importantly, end market demand remains very encouraging across all our markets with total industrial solution orders increasing 11% year-over-year in the first quarter. Industrial Solutions segment EBITDA margins were 18.1% in the quarter moderating slightly from the year ago period. I will now ask Henk to provide additional insight into our first quarter financial performance. Henk?
Hendrikus Derksen - Belden, Inc.: Thank you, John. I will start my comments with results for the quarter, followed by a review of our segment results, a discussion of the balance sheet, and close with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to slide 5 for a detailed consolidated review. Revenues were $607.4 million in the quarter, increasing $56 million or 10.2% from $551.4 million in the first quarter of 2017. Revenues were favorably impacted by $17.9 million from currency translation, $7.5 million from higher copper prices and $30.5 million from acquisitions. After adjusting for these factors, revenues increased 1.1% organically from the prior year period. Gross profit margins in the quarter were 39.9% compared to 41.5% in the year ago period. The year-over-year decrease was driven by unfavorable product mix. Operating expenses were $150.9 million or 24.8% of revenues. After adjusting for the impact of currency translation and acquisitions, operating expenses decreased $13.4 million driven by sustainable productivity initiatives. EBITDA was $103.3 million, increasing $10.3 million or 11.1% compared to the prior year period. EBITDA margins increased modestly to 17%. Net interest expense of $17 million decreased $6.5 million year-over-year driven by the debt refinancing actions completed in 2017. As a result of further debt refinancing actions completed in April 2018, we now expect interest expense of $64 million for the full year. The effective tax rate for the first quarter was 22.8% compared to 18.2% in the prior year. For financial modeling purposes, we recommend using a jurisdictional rate of 24% for the remaining quarters of 2018. Net income in the quarter was $57.5 million compared to $47.8 million in the prior year period. Earnings per share was $1.16 in the quarter, increasing 26.1% from $0.92 in the prior year period. Please turn to slide 6. I will now discuss revenues and operating results by business segment. Our Enterprise Solutions segment generated revenues of $351 million during the quarter, increasing 11.7% from the prior year period. Higher copper prices, currency translation and acquisitions increased revenues by $42 million. After adjusting for these factors, revenues decreased 1.7% organically year-over-year. I'm pleased with the success of our recent price actions, which increased revenues by $6.1 million sequentially in the quarter. This is the second consecutive quarter of price improvements. EBITDA margins were 16.4% in the quarter, increasing 60 basis points from the prior year and 180 basis points sequentially. The year-over-year increase was driven by sustainable productivity improvements. The Industrial Solutions segment generated revenues of $256.4 million in the quarter, an increase of 8.1% from $237.1 million in the prior year period. Currency translation and higher copper prices had a favorable impact of $13.9 million. The divestiture of MCS completed at the end of 2017 resulted in $6 million lower revenues. After adjusting for these factors, revenues grew 4.8% organically. EBITDA margins of 18.1% decreased 40 basis points year-over-year driven by unfavorable product mix and increased investments in product innovation. If you will turn to slide 7, I will begin with our balance sheet highlights. Our cash and cash equivalents balance at the end of the first quarter was $363 million compared to $561 million in the prior quarter and $816 million in the prior year period. The year-over-year decrease reflects our capital deployments net of cash flow generation. Working capital turns were 5.7 turns compared to 8.2 turns in the prior quarter and 8.1 turns in the prior year. The year-over-year decrease is mainly a result of increased inventory levels. Our total debt principal at the end of the first quarter was $1.69 billion, compared to $1.58 billion in the fourth quarter 2017 and $1.66 billion in the year ago period. The sequential increase of $110 million reflects $30 million of currency translation and $80 million of outstanding debt that was repaid in early April as part of our first quarter debt refinancing actions. We're extremely pleased with improvements made to our balance sheet. We have lowered our pre-tax cost of debt to a fixed rate of 3.5% and extended our maturities to 2025 and beyond. Net leverage was 2.9 times net debt-to-EBITDA at the end of the quarter in line with our target range of 2.5 to 3.0 times. Please turn to slide 8 for a few cash flow highlights. Cash flow from operations in the first quarter was a use of $83.9 million compared to a use of $12.3 million in the prior year. The year-over-year decline was primarily due to payments to vendors to support the increased growth CapEx spending and the inventory build in the fourth quarter. We're holding more inventory than typical, reflecting higher copper prices, safety stock related to our manufacturing footprint consolidation and expectations for improved demand going forward as evidenced by a $68 million increase in backlog during the quarter. With the manufacturing footprint consolidation now complete, we anticipate a $30 million reduction in inventory in 2018. Moving to capital allocation. Net capital expenditures were $15.9 million for the quarter, increasing $5.5 million from the prior year. In the quarter, we completed the acquisition of SAM for total cash investment of $94 million. This includes $75 million plus $19 million in debt that we assumed and immediately paid off. We expect to make an additional investment of approximately $50 million this year in integration and restructuring efforts to capture the value of the combined company. In 2018, we expect SAM to contribute approximately $105 million of revenues, $15 million of EBITDA, and $0.20 of EPS accretion. Over the next four quarters, we expect this acquisition to be accretive to EPS by $0.33. This reflects a compelling 13% return on the $144 million of invested capital. We are updating our free cash flow guidance to reflect the SAM acquisition. We now expect 2018 free cash flow to be within the range of $210 million to $230 million compared to the previously guided $250 million and $270 million. This updated range represents approximately 15% growth at the midpoint, which is consistent with our long-term financial goal of 13% to 15%. Finally, we allocated a quarterly record of $75 million towards our share repurchase program in the first quarter, repurchasing 1.05 million shares. We continue to execute upon this program in the second quarter and have repurchased 1.3 million shares for $92 million year-to-date through April. That completes my prepared remarks. I would now like to turn this call back to our President, CEO and Chairman, John Stroup, for the outlook. John?
John S. Stroup - Belden, Inc.: Thank you, Henk. Please turn to slide 9 for our outlook regarding the second quarter and full year 2018. In 2018, we expect record revenues with growth in both of our segments. Consistent with our commitment to continuous improvement and high quality earnings, we also expect record EBITDA margins and free cash flow growth of approximately 15% in line with our long-term goal of 13% to 15%. We anticipate second quarter 2018 revenues to be between $650 million and $670 million and EPS between $1.41 and $1.51. For the full year 2018, we are raising guidance to include the benefit of our SAM acquisition, debt refinancing and share repurchases in the first quarter. For the full year 2018, we now expect revenues between $2.633 billion and $2.683 billion, an increase of $105 million compared to our prior guidance range of between $2.528 billion and $2.578 billion. This represents 10% to 12% growth or 9% to 11% on a constant currency basis, exceeding our 5% to 7% long-term financial goal. We now expect full year EPS of $6.23 to $6.48 compared to our prior guidance range of $5.95 to $6.20. This represents robust 16% to 21% growth. That concludes our prepared remarks. Ebony, please open the call to questions.
Operator: Thank you. John Stroup, your first question is from Matt McCall with Seaport Global Securities. Please go ahead.
Matt McCall - Seaport Global Securities LLC: Thanks. Good morning, everybody.
John S. Stroup - Belden, Inc.: Hey, Matt. How you're doing?
Hendrikus Derksen - Belden, Inc.: Good morning.
Matt McCall - Seaport Global Securities LLC: I'm doing great. Thank you. So I'll try to fit this into one and a follow-up. Maybe talk about the – well, let's talk about the mix, the mix comments first. You've mentioned a few times from a margin perspective, can you go into a little bit more detail about the impact of mix in the quarter, and I guess what's assumed from the mix perspective as we as we look forward in the guidance?
John S. Stroup - Belden, Inc.: So mix was a headwind in the quarter of somewhere around $5 million to $10 million and it was a number of things. It included some that we would characterize as big mix where some of our more profitable businesses didn't grow as fast, and some of the businesses that are not quite as profitable. And then also within our businesses there were a couple of areas where we saw product lines that were not as profitable, growing a little bit faster than product lines that were more. I don't think there's anything in here in the quarter that is alarming or concerning to us as it relates to the start of a trend. And therefore, we weren't all that surprised by it. And I think we had good plans in place to deal with it. So going forward, our guidance for the full year and for the quarter has been updated to include what we believe to be the most likely scenario with mix. But I would consider it to be well within normal variation of how the business is performing.
Matt McCall - Seaport Global Securities LLC: Okay. Okay. So I see. All right. Well, I guess, one more. I wanted to make sure I ask the question about revenue recognition in Grass Valley. No mention of it, no update, does that assume that the information that we received last quarter is kind of still the right information, there is no adjustments and the issues are mostly behind you?
Hendrikus Derksen - Belden, Inc.: Yeah, we made actually great progress in the first quarter. We were able to recover $26 million of the $36 million during the first quarter and we think we will recover the remaining part in second and a little bit in the third quarter. So the team made great progress. We implemented additional controls, so we're on top of it, and I expect us to close out this issue in the third quarter.
Matt McCall - Seaport Global Securities LLC: Okay, okay. And apologies, Kevin, let me sneak one more in before I hop off. The new segments, so it looks like Industrial margins were down a little bit year-over-year, Enterprise was up a little bit. But quick math, Industrial is around 20%, Enterprise is around 16%. Can you just give us a fresh view of how we should look at the incrementals of the two segments and maybe what the outlook is for profitability within the two segments now that we've restated and simplified things?
John S. Stroup - Belden, Inc.: Yeah, so I think that both of these businesses ought to be somewhere around 20% on a full year basis. I think that the Enterprise business is probably on a full year basis going to come in a tad short of 20%. And I think that the Industrial business will be in excess of the 20%. But I think both of these businesses ought to be consistently around 20%. Of course, the first quarter from a revenue point of view is always our lightest, and therefore, we don't typically see those kind of margins in the first quarter. But as you think about the fall through on the businesses, you ought to be thinking about the businesses falling through somewhere around 50%, variable margin on revenues. And then, of course, that'll vary a little bit by the mix, and it'll vary a little bit as it relates to the situation with pricing. But I would like to underscore, Matt, something Henk said, we were very pleased with pricing activity sequentially from Q4 to Q1. We saw a really nice improvement and we expect that to continue. We've included that in our guidance.
Operator: Our next question will come from Shawn Harrison with Longbow Research. Please go ahead.
Shawn M. Harrison - Longbow Research LLC: Hi, morning, everybody.
Hendrikus Derksen - Belden, Inc.: Good morning.
Shawn M. Harrison - Longbow Research LLC: Just going back to Matt's question on mix, John, you characterized it as closer to $5 million to $10 million in the quarter. If my math is right, it looks like it's going to cost you maybe $0.10 or $0.12 of EPS versus the original guidance, if I add up the acquisition, the buyback as well as the debt refinancing benefit, earnings are only going up $0.28, and obviously, the combination of those three is more. But hopefully, you can maybe just help me out with my math there on the mix impact to EPS?
Hendrikus Derksen - Belden, Inc.: Yeah, so for the full year, there's been no change in terms of our EPS outlook, when it comes to mix here, Shawn. We updated our guidance for the SAM acquisition as well as for the impact of the refi, the $0.08, the share repo is obviously accretive. But we also had to adjust for the impact of the mandatory preferred. Right. So, in your share count, you should include a higher potential conversion as a result of the mandatory preferred. And that sort of is a little bit dilutive to the updated guidance. So that's a $0.10 headwind effectively.
Shawn M. Harrison - Longbow Research LLC: That's fantastic, Henk. And then I guess maybe a kind of two-part follow-up, I'll keep them brief. The accretion from the SAM acquisition, how would you expect that to build throughout 2018? And then I know a focal point of some of the short reports on your company and then the inventory dynamics you highlighted a $30 million reduction related to the facility closure. Maybe you could talk about how you would expect working capital management to improve throughout the calendar year?
Hendrikus Derksen - Belden, Inc.: So let me answer your first question on SAM. So the accretion of $0.20, is a penny in the second quarter, $0.08 in the third quarter and remaining $0.11 in the fourth quarter. And on inventory management, we're expecting significant improvement sequentially and our backlog grew roughly $70 million. So over the second and third quarter, we expect a reduction in inventories, and I think our inventory turnover at the end of the year will have normalized and be in line with levels where we typically are.
Shawn M. Harrison - Longbow Research LLC: Okay. Thank you, Henk.
Hendrikus Derksen - Belden, Inc.: You're welcome.
Operator: Our next question will come from William Stein with SunTrust. Please go ahead.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking my questions. First, hoping you can talk about Enterprise growth. I think we're still in negative organic territory. When do you expect that to turn to positive?
John S. Stroup - Belden, Inc.: So within our Enterprise segment, which includes broadband, live media, and what we would call enterprise networking, the enterprise networking business was roughly flat on a year-over-year basis. We think that means we took share. We were especially encouraged by the CAT 6A order growth, which was up substantially on a year-over-year basis and we saw backlog grow in the first quarter. So we're reasonably optimistic that our enterprise networking business will see low single-digit growth on a full year basis given our backlog entering Q2, the state of our funnel of activities, and also the point of sale information that we look at. Then our broadband business we also think is going to see growth in the full year, somewhere probably mid single-digits. They did have to endure a little bit of inventory reduction at a couple of large customers in the first quarter. And then our live media business, which includes Grass Valley and Snell were, at this point, modeling flat on a year-over-year basis and most of the improvement in EBITDA and EPS from that business is going to come from the integration of Grass Valley with SAM.
William Stein - SunTrust Robinson Humphrey, Inc.: That's helpful. One more if I can. The buyback continues at a pretty rapid pace. Can you remind us of the authorization and how we should anticipate that might continue as we go through the year and how programmatic, let's say, versus opportunistic that might look?
John S. Stroup - Belden, Inc.: So the authorization that the board gave us is $200 million. And as of today, we have used approximately $125 million of it, maybe not quite yet all of it. And so we have another $75 million that we have authorization from the board to continue. The way we think about it is unchanged and that is, whenever we're in a period where we think the trading price of our stock is substantially below the intrinsic value of the company, we're buyers. And obviously, we'll evaluate that in Q2 and discuss it with our board in our board meeting later this month.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thanks for the updates. Congrats on the good quarter and outlook.
John S. Stroup - Belden, Inc.: Thank you.
Hendrikus Derksen - Belden, Inc.: Thank you, William.
Operator: Our next question will come from Sherri Scribner with Deutsche Bank. Please go ahead.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi, thanks. Just thinking about the Industrial segment, that segment seems to be performing pretty well and strong growth on an organic basis. It seems like Industrial segments generally are doing well. Do you expect that segment to outperform this year and what specifically are you seeing that driving some of that growth?
John S. Stroup - Belden, Inc.: Yeah, so we saw really strong growth across all four verticals, Sherri. We saw much more robust, especially in oil and gas than we've seen in some time, it was up 22% on a year-over-year basis. If you look at process, which would include oil and gas, it was up almost 8% on a year-over-year basis. Our energy segment was up 28%. Transportation was up 5%. Maybe a little bit surprising, discrete was the lowest of the four at 4%. I think that's mainly timing though. We had really good order growth in the quarter. To be honest with you, my Industrial team at this point is struggling more with manufacturing capacity than they are with their ability to book orders. So we're spending a lot of time with them making certain that they're expanding their capacity in an appropriate rate because everything that we see and hear, whether it's in our project funnel or conversations with customers, is that this investment in automation that we correctly predicted some number of years ago is happening for all the reasons that we thought. And at this point, we don't see it slowing down. If the economy continues to perform the way it has, I would expect to see this grow throughout the year.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Okay. Great. And then, Henk, I think last quarter we talked about the tax rate and there was some discussion of whether your assumptions maybe were too pessimistic. Have you had more time to think about the tax rate and does the 24% now seem like the right number?
Hendrikus Derksen - Belden, Inc.: Well, there's still a lot of uncertainty here. We guided our jurisdictional rate 24% which is effectively almost worst case scenario because it doesn't include any planning initiative. The legislation still has elements that require clarification. We're studying it. We're very close to it. But at this point, we have no update yet.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Great. Thank you.
Hendrikus Derksen - Belden, Inc.: Thank you, Sherri.
Operator: And we will move next to Chip Moore with Canaccord. Please go ahead.
Chip Moore - Canaccord Genuity, Inc.: Morning. Thanks.
John S. Stroup - Belden, Inc.: Good morning.
Chip Moore - Canaccord Genuity, Inc.: Good morning. Maybe you could talk a bit more about the restructuring investment for Grass Valley/SAM? How do we think about the payback on that, particularly as we sort of head into the next cyclical upturn in broadcast at some point? Thanks.
John S. Stroup - Belden, Inc.: Sure. So, as we said in our prepared remarks, we're currently planning to invest $50 million in our integration of the Grass Valley and SAM businesses. That would include us harmonizing and integrating our sales and marketing and engineering organizations as well as integrating our manufacturing footprint. I think we also commented that in the next four quarters, we would expect to achieve a return on invested capital of approximately 13% which is ahead of where we typically are. We would typically expect to be at about 9% through four quarters. And you can think of the SAM business as roughly breakeven at the time we acquired it. So that will give you the quick math if you take a 13% return on $144 million investment as your numerator and compare that to the $50 million investment, that would be the return you would expect to see on that restructuring investment.
Chip Moore - Canaccord Genuity, Inc.: Got it. That's helpful. Thanks, guys.
John S. Stroup - Belden, Inc.: You're welcome.
Hendrikus Derksen - Belden, Inc.: Thank you.
Operator: Our next question will come from Mark Delaney with Goldman Sachs. Please go ahead.
Mark Delaney - Goldman Sachs & Co. LLC: Yes, good morning. Thanks for taking the questions. First question, I was hoping for some more detail on the improved pricing trends the company had seen in Enterprise. One of your competitors talked about some mixed success there and I think maybe were able to raise price in Enterprise cabling in North America region but not internationally. So your positive comment does stand out nicely and you do attribute that to just your regional exposure or are there other factors that could potentially be at play?
John S. Stroup - Belden, Inc.: Well, the struggles we've had in pricing have been relatively isolated to our enterprise networking products. And quite frankly, they've been more of an issue in North America than they have been internationally. So, as we think about the back half of last year, we were generally successful in passing on input costs within our Industrial segment. We were generally successful in doing so within Enterprise except for North America and we began to see that improve towards the end of the fourth quarter and the beginning of the first quarter, and I'm not sure why that is. It might be just recognition that input costs are going up. We do have some competitors whose accounting system might in fact delay some of the input cost increase in their income statement. So maybe that's one of the reasons why they delayed. I think we may have had some competitors at the end of last year that were focused on volume as they were trying to end the year strong. Sales people trying to hit targets. But it certainly felt like in the first quarter, there was greater recognition by our channel partners and by some of our competition that these input costs were real and they needed to be dealt with. And by the way, inflation is not isolated to copper. Sometimes we focus on that, but we're seeing inflation in compounds, transportation, other materials, and so we're vigilant as a team making certain that we're taking care of our pricing appropriately, so that our margins stay intact and we did see it improve.
Mark Delaney - Goldman Sachs & Co. LLC: Okay. That's helpful. And for a follow-up question on the broadband piece of your business, I know that's been more tied historically to copper. Curious, if you have any updates for us about how Belden is thinking about increasing exposure to fiber either organically or inorganically? Thank you.
John S. Stroup - Belden, Inc.: Yeah, so within our broadband segment, we've been investing a considerable amount in increasing and improving our fiber capabilities. This has been both organically and a number of small inorganic investments that we've made. We feel like we have a very strong customer position with the leading MSOs around the world and they continuously ask us to innovate and expand our capabilities and our team has been responsive to that. So I think you should expect that we will continue to make those investments. We remain very bullish on subscriber growth around broadband globally and we think we're exceptionally well positioned there.
Operator: Our next question will come from Noelle Dilts with Stifel. Please go ahead.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Hi, guys, good morning.
John S. Stroup - Belden, Inc.: Hi, Noelle.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Hi. I had some connectivity issues, so sorry, if some of these have already been asked. But first, you made a comment about customers and broadcast investing in direct-to-consumer platforms to combat new entrants. Can you just expand a little bit on what you're seeing there and kind of your expectations on how that evolves moving forward?
John S. Stroup - Belden, Inc.: Sure. So what we hear consistently from our larger North America broadcast customers is that a significant amount of their capital budget is going into the creation of their own direct-to-consumer models. So the most obvious or maybe the most best known is the investments that Disney's making with direct-to-consumer with ESPN, but what you also see it with CBS, ABC, NBC they're all making these investments. And although we're seeing improvement as it relates to IP adoption and it showed up in our numbers in the first quarter, a record number of IP shipments, I think it's important to also note that our customers are managing their capital budgets carefully and they're also continuously investing in still relatively nascent direct-to-consumer models. And we think that that's going to create a little bit of pressure for us as it relates to how they allocate capital to us. It's mainly a North America phenomenon. As you look at our orders growth within our media business, it continues to be far more stable in our international markets than it does in North America. And we're keeping a very close eye on that.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Great. And then could you give us an update on some of the internal investments that you've been making, the India facility, and any other kind of more meaningful initiatives you have going on to kind of help to drive organic growth here over the next few quarters?
John S. Stroup - Belden, Inc.: Sure. So the manufacturing facility in India is expected to be online in the early part of the third quarter of this year. The team is making good progress there and they continue to create demand in advance of that capacity being brought online. So I feel very good about that. The Tripwire team has made nice progress on their, what they call their – it's basically a SaaS model from the cloud as well as in the cloud. We had a great win in the fourth quarter and we continue to see market acceptance there. We continue to make investments in our high-speed business within the data center market. So I think that those investments are going to play out in our organic growth through the year. I'd say in 2018, I think the organic growth is going to be more pronounced in Industrial because of the market tailwinds that that team is benefiting from, but they're of course also making investments in our industrial networking business and our industrial connectivity business including I/O boxes. So I'm very pleased with the progress we've made and I think it will show up throughout the year.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Okay. And then one quick housekeeping question, can you tell us what you're incorporating in terms of copper assumptions and I guess the euro in particular, but currency assumptions?
Hendrikus Derksen - Belden, Inc.: Yes, so for copper, it's round about $3 per pound and for the euro, we are at a little bit over $1.20.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Perfect. Thank you.
Operator: We will take our next question from Rob Cihra with Guggenheim Partners. Please go ahead.
Robert Cihra - Guggenheim Securities LLC: Hi, thanks very much. I was just wondering if you can get more into the strategic rationale with the acquisition of SAM within Grass Valley. I mean, I know you talked about the compelling ROI payback, but on the revenue side beyond the $105 million it adds to 2018, is that a business you think is a growth business beyond that or is the focus really on the ROI? And then I guess in a related way, given that you have now divested the MCS business, what's your rationale on the other side when you divest businesses, is that sort of a ROI focus in reverse or is it a growth thing or what are the drivers there? Thanks.
John S. Stroup - Belden, Inc.: Yeah, so the acquisition of SAM obviously is compelling from an ROIC point of view, but we probably haven't done it justice as it relates to the quality of the business. So first of all, the business is in the end market that we find most attractive. They're especially strong in live media, which we continue to be bullish on. They have a very complementary line of switchers to our own business and their geographic mix is also far more attractive and complementary to Grass Valley. They have a lot more exposure to outside of North America. And so we felt like this was a great fit. It's a business that has seen better than market growth over the last couple of years. We think the combination of the two businesses is really a very unique opportunity and we had that confirmed at the NAB show in Las Vegas in April where customers were consistently congratulating us on the acquisition and thanking us for the acquisition because it's an important – SAM is a very important company and technology to them. When we think about divestitures, we think about it from an ROIC point of view, but we also think about it from a growth and a margin point of view. We look at whether or not the business is going to contribute to us achieving our four financial goals. So is it going to be helpful from a growth point of view, margin expansion point of view, ROIC point of view, and then also cash flow? And in the case of MCS, we concluded that that business was more valuable to others than it was to us. And that's the reason why we decided to divest that business and obviously use that capital in other areas where we felt like we could get a better return on our investment. So it's that simple. We're obviously not a company that frequently divest businesses, but we do on occasion. And it's an important part of our strategic planning process to make certain that we're evaluating all elements of our portfolio.
Robert Cihra - Guggenheim Securities LLC: Great. Thanks. Makes sense.
John S. Stroup - Belden, Inc.: Thank you.
Operator: We will take our next question from Ashwin Kesireddy with JPMorgan. Please go ahead.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Yeah, hi, thank you for taking my question. I want to go back to the Industrial Solutions segment and the comment you made it on increased investments in product innovation. Could you touch upon some of the areas you're focusing on in terms of organic investments? And then also any comments on how network solutions performed during the quarter and what are you thinking about it for the rest of 2018?
John S. Stroup - Belden, Inc.: So I'm sorry – what was the second question? I caught the Industrial. What was the second one? Pardon me.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Related to the network solutions segment, which is now a part of Industrial?
John S. Stroup - Belden, Inc.: Okay. So within our Industrial area, the three top areas of investment are as follows. Cyber security, we're making a significant investment in bringing our technology to the cloud and making that technology more contemporary with how customers are developing their networks and how they're securing their networks, but also investments in bringing that technology to industrial markets. It's worth noting by the way if you look at the non-renewal bookings of Tripwire in the quarter, Industrial is now the single largest vertical for that business. So we've made substantial improvement of bringing that technology to the Industrial segment, which we're very proud of. We also continue to make substantial investments in our industrial switches and routers in particular in investment in our wireless technologies for industrial applications. And then thirdly, consistent with Industry 4.0 or the Internet of Things, we're making substantial investment in our I/O boxes out of our facility in Germany, and we are working with the world's largest automation companies on a variety of commercial initiatives to help them achieve a more decentralized control approach to automation. So those are the three areas I would highlight as the most substantial organic investments.
Ashwin X. Kesireddy - JPMorgan Securities LLC: And about the network solutions and performance there during the quarter and expectations for 2018?
John S. Stroup - Belden, Inc.: Yeah, so that business performed fine in the quarter. It was sort of not noteworthy I would say. They performed about as we expected. On a full year basis, we would expect that, what we used to call network solutions, we would expect that business to grow on a full year basis.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Thank you. If I could just follow-up one last question. I think you mentioned about $9 million IP sales during the quarter, I understand you talked about customers trying to manage their budgets closely, but is this a sign of recovery in the Grass Valley segment that we have been waiting for or do you think it's way too early to call that?
John S. Stroup - Belden, Inc.: I would be a little bit cautious about calling a recovery. I think what we're seeing though is customers are becoming a lot more comfortable putting IP solutions in place because there is now an industry standard and they feel comfortable that their investment is not going to be short lived because the standard didn't exist or it might change. That's clearly what we're seeing. That is important and it's clearly a reason for us to be a lot more optimistic about the business going forward. But I think in North America, we also have to be mindful of the fact that our customers are keeping very close tabs on their capital budgets. And as a result, we feel like it's prudent for us to feel as though this end market on a year-over-year basis is probably going to be flat globally and we would expect momentum coming out of 2018, but we're going to be cautious throughout this year.
Ashwin X. Kesireddy - JPMorgan Securities LLC: Thank you.
Operator: We will take our next question from George Godfrey with C.L. King. Please go ahead.
George J. Godfrey - C.L. King & Associates, Inc.: Thank you and good morning. Thanks for taking my question. Just wanted to get an idea of the CapEx, you highlighted the $50 million investments in the acquisition. What is the total CapEx now expected for the year?
Hendrikus Derksen - Belden, Inc.: The total CapEx if you updated for SAM will be approximately $100 million.
George J. Godfrey - C.L. King & Associates, Inc.: $100 million, so $90 million to $92 million is the expectation in Q4, so an incremental, call it, $10 million now for $100 million?
Hendrikus Derksen - Belden, Inc.: That's right. In fact during update in a prior conversation, we guided towards CapEx investment in total for the company of $92 million, $93 million, we're now updating for SAM, SAM requires a little bit of CapEx. So we're now close to $100 million.
George J. Godfrey - C.L. King & Associates, Inc.: Okay. Thank you. And then last quarter I think if memory serves, $36 million in revenue you thought would close in the quarter was pushed out. Did the majority or all of that close here in the Q1?
Hendrikus Derksen - Belden, Inc.: Yeah, the majority. So $26 million out of the $36 million closed out in Q1.
George J. Godfrey - C.L. King & Associates, Inc.: And the remaining $10 million, do you expect here in the next three quarters?
Hendrikus Derksen - Belden, Inc.: Q2 and Q3.
George J. Godfrey - C.L. King & Associates, Inc.: Okay. Thank you very much.
Hendrikus Derksen - Belden, Inc.: Okay. Thank you.
Operator: And Kevin Maczka, there are no further questions at this time. Please continue with any additional or closing remarks.
Kevin Maczka - Belden, Inc.: Okay. Thank you, Ebony, and thank you everyone for joining today's call. If you have any questions please reach out to the IR team here at Belden. Our email address is investor.relations@belden.com. Thank you and have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes our call for today. You may now disconnect from the call. Thank you for participating.